Operator: Good morning, and welcome to the Builders FirstSource Third Quarter 2014 Earnings Conference Call. Your host for today's call is Mr. Floyd Sherman, Chief Executive Officer. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Any reproduction of this call in whole or in part is not permitted without prior written authorization of Builders FirstSource. And as a reminder, this conference call is being recorded today, October 24, 2014. The company issued a press release after the market closed yesterday. If you don't have a copy, you can find it on our website at bldr.com. Before we begin, I would like to remind you that during the course of this conference call, management may make statements concerning the company's future prospects, financial results and business strategies and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from expectations. Please refer to our most recent Form 10-K filed with the Securities and Exchange Commission and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. We have provided reconciliations of non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in our Form 8-K filed yesterday, both of which are available on our website. At this time, I would like to turn the conference over to Floyd Sherman. Please go ahead, sir.
Floyd Sherman: Thank you and good morning. Welcome to our third quarter 2014 earnings call. Joining me today from our management team is Chad Crow, Senior Vice President and Chief Financial Officer; and Marcie Hyder, Vice President and Controller. I will start with an overview in the third quarter. I’ll then turn the call over to Chad who will discuss our financial results in more detail. After my closing comments regarding our outlook, we’ll take your questions. We ended the third quarter of 2014 with sales of approximately 435 million and on a same store basis increased our sales by 5.3% compared to the third quarter of 2013. Our sales volume excluding the impact of recent acquisitions grew 6.6% before a 1.3% negative impact of commodity price deflation on sales. For the current quarter, the U.S. Census Bureau reported actual single-family housing starts in the south region, which encompasses all of our markets, increased 10.5% compared to the third quarter of 2013. On a September year-to-date basis, actual single-family starts increased 4% in the south region compared to 2013 while our sales volume grew 9.9% before a 3.1% negative impact of commodity price deflation on our sales. In addition to our focus on profitable organic growth, our focus has also been on growing through acquisitions. Our recent acquisitions in Orlando, Houston, Dallas and Austin markets should allow us the opportunity to expand our product and service offerings to a more diverse customer base in what we consider very attractive housing markets. On a trailing 12-month basis, as of the respective acquisition date, these recently acquired companies had generated combined revenues of approximately 67 million. I will now turn the call over to Chad who will review our financial results in more detail.
Chad Crow: Thank you, Floyd. Good morning, everyone. For the current quarter we reported sales of 434.9 million compared to 402.9 million for the third quarter of 2013, an increase of 32 million or 7.9%. Excluding the impact of recent acquisitions, we estimate sales increased approximately 6.6% due to increased sales volume which was offset 1.3% by the impact of commodity price deflation on our sales. Looking to our sales by product category, prefabricated components were 90.2 million, up 8.8% from 83 million in the third quarter of 2013. Windows and doors were 97.7 million, up [Audio Gap] up 3%. Our millwork category was 42.7 million, up approximately 14% and other building products and services were 62.6 million, up 3.4% from last year. From a product mix standpoint, our value added product categories made up a higher percentage of overall sales while lumber and lumber sheet goods and other building products and services declined as a percentage of total sales. I will also point out that revenue related to installed material and labor fell almost 5% compared to the third quarter of last year. This is representative of our willingness to log business when pricing is not acceptable, especially in the area of installed services. Our gross margin percentage was 22.5% in the current quarter, down from 23% last year, largely due to more favorable trends in market prices for commodity lumber and lumber sheet good products in the third quarter of last year. Our gross margin percentage has shown continual improvement this year and is up 90 basis points on a year-to-date basis. For the current quarter, our selling, general and administrative expenses increased 9.6 million or 13.3%. Excluding the impact of recent acquisitions, SG&A increased 7.5 million, of which approximately 3.3 million was attributable to higher sales volumes. The remaining 4.2 million [Audio Gap] up to 300,000 per claim and have had an usually high number of large claims hit us in the back half of this year. We also have 1 million of incremental non-cash stock comp expense related to equity grants earlier this year. Going forward, our quarterly stock comp expense will be consistent with the 2 million expense in the current quarter. While this is one of our add backs to adjusted EBITDA, it will be reflected as incremental SG&A on our P&L. We also had approximately 1.6 million of incremental expenses I would classify as infrastructure investments that remain in anticipation of stronger housing starts this year, specifically an additional 600,000 in lease expense on delivery equipment and approximately $1 million in incremental personnel cost largely related to hiring and retaining truck drivers. I want to give you a little more color on this. We have budgeted single-family starts this year to be up approximately 18% from last year, which at the time was below other industry estimates [Audio Gap] we had budgeted for. So you’re left with the choice, do we strip things down again in response to slower growth knowing that we may be left short on equipment and personnel when things pick up or do we hold to some of the incremental investments made in anticipation of stronger growth. Well, we’re doing a little of both, but the bottom line is our money says housing will continue to get better over the next couple of years, not worse, so we may be a little heavier in some areas than we need to be over the next couple of quarters in anticipation of this growth. But we’ll continue to weigh the risk reward of reducing these costs and will make adjustments that we deem necessary. And as an example, as of today we are currently having to decide what we [Audio Gap] for growth in the business. Our SG&A expenses expressed as a percentage of sales were 18.8% compared to 18% in the third quarter of 2013. The incremental unfavorable expenses I outlined increased our SG&A expense as a percentage of sales approximately 90 basis points in the current quarter. Interest expense was 6.4 million, a decrease of 1.1 million. The decrease was primarily related to 1.1 million reduction in the non-cash fair value of stock warrants issued in connection with our 2011 term loan. We recorded 500,000 of income tax expense compared to 100,000 income tax benefit in the third quarter of 2013. [Audio Gap] respectively. Absent the valuation allowance, the effective tax rate inclusive of discrete items would have been 40.7% and 25.8% in the third quarters of '14 and '13 respectively. As of September 30th, our gross federal income tax net operating loss available for carry-forward was approximately 247 million. Income from continuing operations was 8.7 million or $0.07 per diluted share compared to 13 million or $0.13 per diluted share in the third quarter of 2013. Our adjusted EBITDA was 20.2 million or 4.7% of sales for the current quarter compared to 23 million or 5.7% of sales in the third quarter of 2013. We ended the current quarter with total liquidity of approximately 197 million consisting of 67.8 million of cash and 129.4 million in borrowing availability on our revolving credit facility. In July 2014, we borrowed 30 million under our senior secured revolving credit facility and still have 30 million outstanding as of the end of September. Operating cash flow was 29.8 million for third quarter of 2014 compared to 29.7 million last year. During the third quarter of 2014, we used approximately 24.4 million of cash on hand to acquire West Orange Lumber Company and Truss Rite, LLC and October 1st we used approximately 19.4 million to acquire Trim Tech of Austin. Capital expenditures were 2.4 million for the third quarter of 2014 compared to 4.8 million for the same quarter of 2013. Capital expenditures in the fourth quarter [Audio Gap] built in the State of Texas. I’ll now turn the call back over to Floyd for his closing comments.
Floyd Sherman: Thank you, Chad. We continue to believe the long-term outlook for the housing industry remains positive and that the pace of the recovery will accelerate as consumers gain more confidence in the economy and pent-up housing demand gets released. We will continue looking for ways to improve our profitability while still growing our market share, including seeking additional strategic acquisition targets in order to be even better positioned for such a rebound. I'll now turn the call over to the operator for Q&A.
Operator: Thank you. (Operator Instructions) It appears our first question comes from John Baugh with Stifel.
John Baugh – Stifel Nicolaus: I wanted to probe on the acquisitions. You mentioned you expanded customer base. What you’re really getting both financially and strategically through the acquisitions? And I guess what I’m trying to get at is, is it simply just getting larger in good markets at an attractive financial or is there something specific about any of these companies that brings management or product line some kind of expertise?
Floyd Sherman: Well, I think John, when you look at the acquisitions that we made with the trust manufacturing companies, those companies will enable us to become more involved with the multifamily sector of the business. That’s where the primary focus is on. We think the multifamily business will continue to be very good. It looks like the multifamily construction over next several years will be more robust than single-family. These operations will certainly allow us to gain better penetration into that particular market and in the areas where we acquired the plans. And so we look at that strategically as being very, very important to this company to get into more involved in a multifamily. We like the multifamily business where we can deliver a product without getting involved in a lot of installed work. We like trusses, we also like the millwork category and those areas in particular are of real interest to us. We also really wanted to be able to get into the Houston market. We think the Houston market can be really expanded. We are involved -- at the current time up until the acquisition, the only product [Audio Gap] Houston, Texas plant. This particular acquisition that we did in the Houston will enable us to really expand our presence. We think that this will be a very, very large market for us going forward. And this acquisition gives us a chance to enter the market with a company that had excellent reputation, very high quality people, we're well established in the market and in fact we've already acquired another facility to enlarge that company's operations within the Houston market. So we see the Houston market as a long-term major market for us to participate in. The acquisition that we did in Orlando, that gave us not only a building products distribution, but it also enabled us to get into a commercial door arena which we have not participated in at all and as well as with a Truss manufacturing operations. So that we’re not only increasing our exposure to the Orlando market with the traditional business products, but also opening up added venues for us with roof trusses and commercial door products. So, I think that pretty much sums up what we’ve done so far and this is what we’re going to continue to look for. We want to add more manufacturing content to the company. We want to add more value added products and we think that in the long term is what will produce a better earnings stream for us.
Chad Crow: And I will just add on -- the Trim Tech acquisition certainly gives us deeper penetration into a strong market in Austin, but it also gives us a little more exposure to some high end custom builders and also comes with a very experienced management team as well.
John Baugh – Stifel Nicolaus: I’ll get into modeling details with you later, Chad, but how do we think about these 67 million of revenues and what you paid? How do we think about that in total financially for the next 12 months or so?
Chad Crow: Obviously, the plan is to [Audio Gap] content. There is certainly very high EBITDA margin acquisitions as well. So I think there is a lot of good opportunities there. We can -- like you said, we can talk more specifics later if you like.
John Baugh – Stifel Nicolaus: And my final question is just on the housing start number. You commented that year-to-date it’s up 4% in your area. Latest quarter it was up 10% and of course your revenues are a little bit lagged to all of that. Should we take this to mean if the revenue may accelerate with the recent quarters strength in the single-family, Floyd?
Floyd Sherman: Yes. We've definitely done the restarts in our area [Audio Gap] is a lag from the time a start is taken out and until the actual construction process begins. That could be 60 to 90 days. So we think that this will -- should produce stronger results for us looking forward. But as I look at the fourth quarter, I think the fourth quarter of this year is going to resemble a lot like our third quarter. We had indicated on the last call we thought the third quarter was going to look very much like the second quarter and I think we are pretty much spot on as it turned out. As Chad said, we do feel -- and looking forward to next year, I think in our [Audio Gap] that’s what right now we’re building our budgets around. I know there are some higher numbers, some lower numbers. But our feeling is that housing is continuing to improve, continuing to strengthen. Certainly some of the actions that have been -- and the conversations that have come out of the Federal Housing Finance Agency as it relates to loosening rules on mortgages certainly is positive for us. I think it will start helping bring back the first time home buyer into the market. So we’re feeling better as we look forward in the business and I think the fourth quarter business wise, trend wise I think is going to have a lot of similarities to what we’ve seen in the third quarter. Chad, you may...?
Chad Crow: It will obviously have some seasonality impact in Q4. I think the last year from Q3 to Q4 our sales dropped about 8% due to that seasonality effect, probably see a similar drop this year Q3 to Q4. I think our growth margins should hang in there pretty close to where they were in the third quarter of this year. We will be a little heavier, as I discussed earlier, on the operating expense side. So I would expect our Q4 EBITDA to come in somewhere pretty close to where we were in Q4 last year.
Operator: Our next question comes from Philip Volpicelli with Deutsche Bank.
Philip Volpicelli - Deutsche Bank: Chad, unfortunately when you were talking about the items that caused SG&A to be up year-over-year, my line cut out. Could you just go over those once again? And then could you talk a little bit about how we should think about SG&A for 2015? Is it best to think about it on a percent of revenue or is it best to think about it as a fixed versus variable and how should those components change?
Floyd Sherman: Excluding the impact of acquisitions in the third quarter, our SG&A increased about 7.5 million, of which about 3.3 million was attributable to higher sales volume, which again we’ve said in the past that our OpEx would be 65% to 70% variable to increases in sales volumes. So that's consistent with what we’ve said. But on top of that, we had just over 4 million of what I would consider unfavorable flex. 1.1 million of that was some unexpected group health expense cost. We had quite a rash with higher dollar claims this year. We’re probably on pace this year to be at least 2 to 2.5 times as many what we call higher dollar claims, claims over $50,000. So that was an incremental 1.1 million in the quarter. We had the 1 million of incremental stock comp expense that’s non-cash. It’s obviously an add-back to our EBITDA, but it does increase operating expense on the P&L. And then we had another 1.6 million or so that I was saying were more infrastructure type investments in delivery equipment. 600,000 of that 1.6 million is incremental lease expense on delivery equipment and about 1 million of incremental personnel cost, investments we’ve made in personnel in anticipation of the higher growth largely in the area of delivery and retaining qualified drivers. So that’s the bulk of the change in the operating expense. So some of this to a degree is an investment on future growth. I still think long-term our OpEx is going to trend very well with growth in sales. And I would probably – and you can look at it both ways. I think you can look at it at 65% to 70% variable to volume growth which obviously should drive down our OpEx as a percentage of sales in future years.
Philip Volpicelli - Deutsche Bank: And when you look about in your regions now, clearly the third quarter starts were up much better than what you’ve seen in the first six months of the year. What’s the tone that you’re getting from your builder customers now?
Floyd Sherman: Say that again. You were breaking up, Phil.
Philip Volpicelli - Deutsche Bank: I was just wondering what the tone is from your builder customers now in the Southern region in terms of starts because you had a weak start to the year, a pretty good third quarter at 10.5% increase. Are you feeling that momentum to continue?
Chad Crow: Yes. I definitely feel the momentum is continuing. The builders are feeling very confident. We're getting – we continue to get very encouraging reports from our builder customers. I think their outlook going into next year is certainly a lot better than what we saw earlier in the year and a lot more positive and I think it’s going to reflect in a continually improving housing market. Even coming off of a year that looks like it’s going to be, for the year, a relatively flat 5% growth on starts, where next year we’re really saying we think it’s going to be somewhere in that 10%, give or take a point or two, and that’s the way we’re budgeting and that’s largely based on the feelings that we’re getting from our customers and the confidence that they’re showing as I look to next year’s building plans.
Philip Volpicelli - Deutsche Bank: Two questions on acquisitions and I’ll pass it on. What were the EBITDA contributions from the four acquisitions you’ve completed and what's your appetite for the rest of the year in terms of how much more you might consider spending?
Chad Crow: We are not going to disclose the EBITDA contribution on those. I think as Floyd laid out earlier, we’re -- we do certainly have an appetite to go after some additional companies especially those with the mix of value add products.
Operator: Our next question comes from Lee Brading with Wells Fargo.
Melissa McGuire - Wells Fargo: This is actually Melissa McGuire on for Lee Brading. Thanks for taking the question. We were looking at another good quarter growth in your prefab business and I was hoping you can discuss its impact on market share. It looks like it went down as a percentage of total mix a little from Q2. But I was hoping to get any color you have on flow-through from that business into any of your other product lines?
Chad Crow: The demand for those products is still certainly strong and we anticipate that that demand will continue to grow. We did have a very strong quarter when you look at the windows and doors category. And sometimes when you see some growth in one category that kind of outpaces others, it obviously pushes the other down as a percentage of total. But the growth in that category is still very strong.
Melissa McGuire - Wells Fargo: And then was curious, is that growth driving kind of increasing share of wallet with your existing customers? I think you’d mentioned in the past maybe getting in the door on the prefab side and then that expanding outward to other lines?
Chad Crow: Well to the extent that starts haven’t been what we had hoped this year, the additional penetration on that product line with some customers hasn’t played out like we had hoped. But I think as long as we continue to see an increase in starts, that’s when the demand for that product category will continue to accelerate. So I fully expect the starts growth that there will be higher demand for that product and more penetration with existing customers.
Melissa McGuire - Wells Fargo: And then you just mentioned the strength in the windows and doors category. I know some of the other window and door manufacturers have been announcing price increases. Is that driving a lot of the sales growth you guys are seeing or what’s -- maybe some color on the magnitude of pricing benefit versus just volume increases.
Chad Crow: Well, it’s both. Certainly price increases, as long as we’re able to pass those along, can help the top line in those categories. So that is part of it. part of it is also, as Floyd mentioned that we have a window plant in Houston and that plant continues to perform really well and continues to take share down there. So it’s a combination of both. I don’t have any more of a breakdown of that for you.
Operator: Our next question comes from Seth Yeager with Jefferies.
Seth Yeager - Jefferies: I don’t know if it was just me, but just as a heads up, at least at the beginning of the call it was cutting out quite a bit. I respect that you’re not giving specific margins or multiples on the acquisitions. Can you maybe talk about the percentage of the mix, like what’s commodity versus value add just roughly? I apologize if I missed that before.
Chad Crow: Well certainly a higher weight to the value add, just trying to add it up here in my head. I would probably say it’s 60% to 70% value add versus distribution.
Seth Yeager - Jefferies: And the multifamily exposure that you had mentioned, what sort of mix does that look with the recent additions?
Chad Crow: Well, the multifamily is going to be almost 100% value add. That’s primarily supplying roof trusses and floor trusses.
Seth Yeager - Jefferies: And is there anything you can share around how you position your inventories going another quarter? I think there is about $10 million I guess versus the prior year. How much of that was from the acquisition versus any strategic purchases that you guys may have made?
Chad Crow: I would say probably the bulk of it is due to the acquisitions. Commodity prices have been pretty flat this year. We really don’t expect to see a whole lot of movement in them. And so while we may have taken advantage of a few opportunities on the buy side, I think most of that’s going to be the acquisitions.
Seth Yeager - Jefferies: And the additional group health expense, is that going to be run rated going forward or is that more of like a one-time item during the quarter?
Chad Crow: Well, I do think we have some more larger claims that have yet to come through in the back half of the year. But no, I don’t think it’s going to be a run rate from here on. I hope when we get past this wave we’re seeing in Q4 that we’ll see that settle down a little bit.
Seth Yeager - Jefferies: And then just last one from me in terms of cash flows. How are you prioritizing -- you obviously mentioned some acquisitions. Are there still some mothball facilities that you can bring back online that are maybe a little more accretive? And how quickly do you anticipate paying down the borrowings under the ABL?
Chad Crow: Well we do have one or two facilities that are still mothballed. Right now the demand in those particular markets do not justify reopening those. But I really don’t see that happening in the next quarter or two. As far as the revolver goes, yeah, we’ll pay it down as soon as we can. But a lot of that will depend on that if we’re able to come across any attractive acquisitions in the mean time.
Operator: Our next question comes from Justin Bergner with Gabelli & Company.
Justin Bergner - Gabelli & Company: I just want to start and understand the dynamics of the market that did better. Has anything sort of meaningfully changed over the last three months in terms of labor availability or competitive behavior in the housing market as it relates to the products you supply? And I guess I’m also wondering about the decision to exit certain business which might have been attractive a couple of months ago -- or not exit certain business, but sort of pull back from certain installation business.
Floyd Sherman: Well, the labor situation still remains very tight. The entire construction industry, and it's not just limited to our sales, is still – the very tough feeling finding the skilled labor that’s required and also being able to control the cost of that labor. But it’s not getting any worse. It hasn’t gotten any better. But it still is a major issue that we have to deal with. So I can’t really say that the labor is a deteriorating situation for us. And so I guess we’re all learning to live with it and we’re taking care of the business that we have to take care of. I really don’t believe at this point that it’s holding back construction. There may be some occasional delays that you’re running into, but that’s about the extent of it. Chad, you have any other color?
Chad Crow: No, that’s right; it’s still pretty tough from a labor standpoint. The decision to exits on the installations -- or anytime you install something, you’re taking on a little bit of additional risk and we need to be paid for that risk. And so there's situations out there where we don’t feel like we’re getting paid for that risk and that’s why we've made the decision to reassess whether we do some of that business or not.
Floyd Sherman: And I think that when you look at what took place in our business third quarter of this year compared to the same period last year, when you look at the important segments of our business, the value-add seg in some of the business, prefab components were up almost 9%, windows and doors up almost 16%, millwork up about 14%. They were really major increases and that was offset by only a 3% gain in lumber, lumber sheet goods and about 0.3% and 0.4% for the other building products and services which are heavily weighted towards install. We've put a lot of focus on increasing our efforts where we could get better margins, certainly in the areas of the lumber, lumber sheet goods, extremely price competitive. We recognize we've got to do this, this is still an important part of the business. But we’re willing to walk from business where we can't get what we think is fair pricing for our services and the products that we supply to the job site. The same thing holds true in install. If we don’t feel we can get the margins, the pricing that justifies the risk that we have to take on, then we’re going to pass on some of that business and we’ll wait till conditions improve. We’re not exiting from the business, we’re just redeploying some of our efforts in a direction that will give us a better positive result. So I feel really good about the gains that we made in the value-add sectors of our business. If you look at those, we had double digit increases and what brought our overall sales gain down was we backed off and we walked from a lot of dollars of business in the commodity area of the business as well as on the installed side where we just didn't feel that there was a reason to pursue it.
Justin Bergner - Gabelli & Company: I had one other question which is, the 1.6 million of SG&A that was sort of defined as infrastructure spending, is that spending that was put into place in Q3 in anticipation of sort of a second half pick up given that it didn’t hit prior quarters?
Chad Crow: No, it was in place in Q2 as well. It was bleeding in, in Q2 and continued to come in in Q3, especially on the equipment side, some of that equipment is trickling in as the year goes on because like I said earlier, we ordered some of that stuff six months ago. And then on the wage side of it, especially as it relates to driver salary, we had major increase just like we had to pay out to our drivers' salaries in order to keep our drivers there. As you know, there is a major shortage of CDL drivers in this country. Every trucking operation is open to pirating from the competitors and drivers are absolutely essential for us and the skill that's required when you are delivering building materials to a job site and having to place materials on a job site is more difficult and takes a lot longer for people to get those skills than it is just driving point A to point B which many of the over-the-road drivers have to do in their job. So, we really have been concerned with being able to hold on to our drivers and afford, because that’s going to determine to a great extent your ability to take advantage of an expanding housing market as we go forward. Just as a salesman is important, those drivers are absolutely critical to us in getting the materials to the job site and maintaining a high level of service for the customers. So, the drivers' salaries were -- increases were very much unexpected and this has been something that really started accelerating. We started seeing a little bit of it in the second quarter and it really developed during the third quarter in particular.
Justin Bergner - Gabelli & Company: So when I think about sort of the SG&A spend sequentially third quarter versus second quarter, that 1.6 million wasn’t so much of a step up sequentially, it was more the other factors that you talked about?
Chad Crow: That’s right. It was primarily the stock comp and the group [indiscernible].
Operator: (Operator Instructions) Our next question comes from Sam McGovern with Credit Suisse.
Sam McGovern - Credit Suisse: Again, I may have missed this just given the phone difficulties earlier. But in terms of the pricing pressure that you guys have seen from some of your just smaller private competitors, obviously that’s driving [indiscernible] here. What do you think it takes to really get that out of the system? Is it just the pickup in demand will eventually take care of that or is it just sort of waiting guys out until they sort of dry up from liquidity and they have to get back to market? What gets you to a point where this is a little bit more balanced in terms of supply and demand?
Chad Crow: I think it’s really a combination of both of those things. We’re definitely -- Sam, this year was a year we entered the year with very high expectations and I think so did the rest of our competitors. Everyone was anticipating a much more robust housing market. People put in CapEx, expanded their business, increased the supply and then unfortunately the market hasn’t developed to anymore close to anyone's expectation. So, there still is a lot of supply chasing the demand. As we move into more -- as the housing continues to move up, that begins to eat up that. I think people are going to be less anxious to get out and throw themselves, similar to what we did here in this company, going forward. I think that there are a lot of competitors that are really experiencing issues with getting the necessary working capital to expand their business, take care, properly servicing their customers. And so I do believe that we’re going to continue to see people fall out and pull back in this business, which will ultimately help ourselves and others who are better prepared to take advantage of an expanding housing market. But very definitely an improved housing market is the number one answer to improving and minimizing the competitive situation that we find today.
Sam McGovern - Credit Suisse: And just as a follow-up at just some of the M&A questions that were out there, can you talk a little bit about the process? Is it an auction typically? Are there a lot of other bidders? And specifically I’m curious as to one of your sort of larger national private competitors has expressed an interest in expanding more into the U.S. sales primarily through M&A. So I’m just curious whether you’re seeing any competition from them on the M&A front?
Chad Crow: So far we've, for the most part, avoided an auction situation. And one of the deals there was a few other interested parties, but even in that deal we were able to kind of lock down a 90-day exclusivity period. So for the most part, we’ve been able to kind of get in there and do our diligence and avoid the whole auction process.
Operator: Our next question comes from Trey Grooms with Stephens Inc.
Trey Grooms - Stephens Inc.: I’m sorry if I missed this too given the phone situation. It was very choppy on early into the call. But, so given some of these headwinds in SG&A that you’ve detailed out, Chad, kind of looking into next year -- and I know you said longer term you expect to continue to see that, kind of as a percent of res, that ratio come down. But as we kind of look into next year though and your expectation for about 10% increase in starts, I believe is what Floyd said, in that environment and given the current situation with SG&A, would you expect that SG&A leverage to kind of return to the type of labors we’ve been seeing in periods before or is there anything going on now that would kind of meet that somewhat looking in the next 12 months?
Chad Crow: No, my outlook hasn’t changed on our ability to leverage our OpEx, even in the next year. Like I said, some of it I think we’ve just pre-paid to a degree where our infrastructure is just out in front where the starts right now. But if we can get the improvement we see or we hope to see in starts next year, then I think it will all fall back into play.
Trey Grooms - Stephens Inc.: And then with your approach that you – with you guys needing to or taking the approach of walking away from some of this lower margin business and if you have starts up 10% on average next year, do you think -- you’ve got market share gains in place from years past and you’ve done some acquisitions, but organically do you think in that type environment that you should exceed the end markets, the non-performing end markets as you have in the past or should we expect more of an inline type of performance?
Chad Crow: I think it’s going to be in line to outperform to some degree, somewhere in that range. I think the acquisitions we have made are certainly going to begin to pay off in that environment. And as Floyd said earlier, I think our ability is to grow our business without the constraints of liquidity is going to be to our advantage in an environment where starts are growing. So I think kind of the base case is maintain and I think there is certainly some upside to that.
Floyd Sherman: And I think still at the end of the day, the one thing we are going to continue to look to push our margins up. And so that – and it’s very difficult to continue to improve your margins when you have as competitive a situation as we do, And when you’re taking market share and still building your margin, that’s a tough thing to do. But it can be done and we’ve shown that. And I really think that as we go forward, we have got to get our sales position so that ultimately on a much smaller housing start basis -- and when I talk about that, I’m saying 1 million single-family starts -- I want to see our margins back up in that traditional area 24.5% to 25.5%. And so that would indicate that we have to continue to move it up as the housing market slowly expands and I think we can do that. We’ve shown this year we’ve been able to -- right now we’re 90 basis points ahead of last year on a housing market that's relatively flat and I think we can continue the same trend of improving margins and still slightly continuing to improve our market position.
Trey Grooms - Stephens Inc.: No doubt, you guys have done a great job in this environment with your margins. Hats off to you on that. In that scenario, Floyd, where you’re talking about 24.5%, 25% type gross margins and then also kind of looking at the operating leverage that you have on SG&A, what does that mean for kind of a EBITDA margin range and at least goals that you guys have in place for that type of environment?
Floyd Sherman: I’ll just say, certainly my belief is that we can be north of 8% EBITDA, north of even where we were at our height. But if I were to give a rate, I’d say north of where we were in 2005, 2006.
Operator: Our next question comes from Jim Fowler with Harvest Capital.
Jim Fowler - Harvest Capital: Your comments on the compensation to your drivers, could you give a magnitude of change? I think you mentioned that it’s hard to go up in the second quarter and started to ramp more materially in the third quarter. But could you give us some context around how much you’d increased say in the third quarter from the first quarter? And then do you think there is more to go as we go through the fourth quarter and into next year? And then even further if you might comment at what you think the directionality might be if housing market does pick up? I mean does that put more pressure on compensation for drivers before more drivers come back to the market or what’s your thoughts there?
Chad Crow: I think if the housing starts pick up, you will continue to see [indiscernible] market. So there will probably be some ongoing compensation [Audio Gap] first quarter to third quarter?
Jim Fowler - Harvest Capital: Yeah. This call is [indiscernible] it is very frustrating with the technology hopefully you'll fix that for next quarter. I’m just interested in when you comment on the third quarter versus the second quarter, could you put some numeracy around that [indiscernible]?
Chad Crow: From a compensation standpoint?
Jim Fowler - Harvest Capital: For drivers, yes.
Chad Crow: Well, as I said, about $1 million was incremental -- that’s on a quarter-over-quarter basis. It wasn’t as big of an even impact on Q2 to Q3, but we do have over 600 drivers in this company. So, it’s an important and fairly large part of our headcount.
Jim Fowler - Harvest Capital: And will that -- do you expect driver compensation to continue increasing in the fourth quarter and to start next year or do you think you've reset it at a level that accommodates the current market?
Chad Crow: I'd probably be fooling myself to say there won’t be continued pressure on drivers. I think we have a lot of that behind us now. But I think there will probably still be some pressure, just not to the same degree.
Operator: It appears we have no further questions in the queue at this time. I would like to turn the conference back over to Mr. Sherman for any additional or closing remarks.
Floyd Sherman: Okay. We appreciate everyone joining the call today. If you have any follow-up questions, please feel free to give Chad or Marcie a call here in Dallas. Thanks and have a great day.
Operator: That does conclude today’s conference. Thank you for your participation.